Cristiano Veloso: Hi, everyone. My name is Cristiano Veloso. I'm here today with Felipe Paolucci. I'm the founder and CEO of Verde Agritech. Felipe is our Chief Financial Officer. We will today be presenting our Q4 2023 results alongside full-year 2023 results. If you have any questions, please write them on the Q&A option at the bottom of the screen. After Felipe has finished with his presentation, I will address each one of the questions that were presented by you. If you're watching this presentation on YouTube, please and you like the content, please share it. That's how you help us spread the word about what we're doing at Verde Agritech. 2023 as we all know -- as we all saw happening throughout the year, turned out to be one of the most challenging years for agriculture, especially agriculture in Brazil, especially for fertilizer companies in Brazil. There's no shortage of material available from other companies, public companies in the same space as ours, with plenty of background information about what has been going on, what happened in 2023, but also there's plenty of public information about what Q1 has been like and what this 2024 is shaping up to be as well. Nevertheless, we remain working as hard as we possibly can. We remain committed to growing our company and we remain open to the feedback, opinion, contribution from each one of you who is already a shareholder, who might be thinking about a shareholder, we remain working together to carry on growing the business. I will now allow Felipe Paolucci to start the presentation. He will take you through the results, some more details on the financials, on the disclosures, and then I will address questions. In the interest of making the Q&A more organized, I will be taking the questions after the presentation is finished. So if you have any questions, please edit as soon as possible to the Q&A at the bottom. Thank you very much, Felipe. Please, go ahead.
Felipe Paolucci: Thank you. Thank you, Cristiano. Well, first of all, we have here the screen, the coupon for our product that's available for you if needed. This is also available at YouTube after the conference and also in our website if needed. And first a bit on market overview, then Brazilian KCL prices, a bit on the economic scenario, our 2023 results and financial statements, a bit on operational summary, sales, expenses, logistic, and then a bit on the financial condition of the company and expectation for the year. On market overview, we saw during the year a strong decrease in the marketplace for price search, for example soybeans, coffee among others. What has also impacted our business since the clients had a tough time in the season to have enough cash to invest and also this made them to postpone some purchase and also to shift to cheaper products or even though do not use sometimes products that they could postpone the usage. And the right side, you can see as well what happened with the KCL price, which had a huge increase in 2022 for the reasons that prior to this disclosure. And then now since mid-last year, a huge decrease that from December onwards. Since January, let's say this year, the price has stabilized and the expectation from own [Indiscernible] to be flat or even hopefully an increase on the price. So this had a relevant impact also in our business during 2023. On the other side, what is something that's favorable for us in the middle term. We can say that the SELIC interest rate, the government bond rate has decreased. I had last year another cut on 0.5%. We do expect by the end of the year, not Verde, but the financial analysts expect that the final year is going to be close to 8.5% or 9% per year. This has a positive impact in our loans interest, which is already included in our budget for 2024. And also in the right side of the table, you can see as well the Brazilian Real variance against Canadian dollar. What we had in the last few days as well, it's good to highlight here, is that the U.S. dollar is getting stronger and we've passed from $5.05, I think yesterday and Brazilian Reals per U.S. dollar, which also helps a bit in matter of price since commodities are based in U.S. dollars and as you know KCL price also increases when Brazilian Real will evaluate locally in Brazil. The results of 2023, a bit on cash. Cash held by the group increased by $5.8 million a year. This was basically came from additional loans that the group has secured in Q3 and Q4. Cash utilized from investing increased to $4 million in 2023, compared to $42 million in 2022. This was also expected since concluded the investments we have made in the access and also in the Factory 2, which demand a lot of capital in 2023. In 2022, the entire year. Cash generated from financial activity decreased to $5 million, compared to $30 million in 2022. So this similar, so it was expected, no expectation for a huge investment out to 2024. What we have to make, it's already concluded and we are ready to grow and deliver more product if needed during this year. Profitability revenue in 2023 was CAD37.9 million, a 53% decrease compared to the previous year. This reduction in revenue was reviewed by 54% drop in average of potash price, as I've mentioned before, and also 32% decrease in sales volume in full-year 2023 to 428 metric tonnes, compared to 620 in 2022. EBITDA before low cash events in 2023 was CAD2 million and as mentioned the revenue side had a huge impact on it and also we had a 2023 impact on ECLs, which over $1.6 million, which also impacted our average in 2023. Then we had a net loss in the last year of over CAD6 million, compared to a net profit of CAD17.8 million in 2022. So the reduction of revenue with rise on ECLs, depreciation costs, and interest expense in the year were the key attributes that delivered this loss in the year, if compared to 2022. The total non-current assets in 2023 were $73.1 million, compared to $65.2 million in 2022. Now we do have a table which demonstrates the financial statements of Q4, the left side, and then the annual performance in the right side of the screen. As I've mentioned, revenue had a huge impact in the results of the reduction of over 50% both in Q4 and full-year. And the side of gross margin, you can see that we've also lost a bit here, but you can see after exclude freights, which you have in the next chart, that the impact was even higher, the price reduction. On the EBITDA, as I've mentioned, we've closed the year of CAD2 million positive EBITDA. And the key point here as well, depreciation, huge impact because of the depreciation of Plant 2. We are taking around CAD300,000 per month around in depreciation currently. The income in tax, we had a positive scenario, as explained in the MD&A and press release. We had cumulative loss from the private periods and with the taxation that we are currently on, we did have this positive impact in Q4 and then this will be now flat from now onwards. That's the expectation. So in the end of the period, we had in Q4 a net loss of CAD2.6 million and in full-year CAD5.9 close to CAD6 million loss. On the operational summary, you can see here per ton, which is good to compare. As you can see for example, average revenue per ton, a big decrease from CAD128 to CAD89 per ton. But also on the other hand you can see as well a decrease in the production cost, which was basically driven by a mixed change with lower big bag sales against books and also a mixture impact, the lower backs sold compared to K40. In the second table, we exclude the effect of freight and then we can see again here a relevant decrease in the price and also production costs, as well which help to abate the results in the year. On SG&A expenses we've highlighted the key numbers performance. You can see that on sales and marketing expenses, which covers salaries for employees, car rentals, and also traveling in Brazil. The strategy of the company for more field sales instead of long distance sales or phone sales, it had an impact here as well for this kind of investments. On fee base to sales agents we had a relevant decrease, we had some reversion during the year and also the mix has changed a bit and also the lower price per ton sold on FOB basis which is the base that we pay the commission. It had a positive impact for us reducing this kind of expenses. On G&A, we can highlight here the allowance for expected credit losses. As I said before, the bad debt provision, we had in full-year 2023 1.7 million booked already, and last year 2022 had none. So this is a very relevant impact that we might have a chance to recover this amount in the near future. But according to the policy that we have, we must do this provision. And this was made exactly like the policy that the company holds currently. Going forward, we have a chart here that on the left side you can see a logistic expenses, which is our largest number for sure. We can see that volume sold at CIF remained stable, 71% in 2023, compared to 2022. But the total freight delivery cost per ton was lower in 2023. And this was mainly due to a reduction of percentage of sales made to regions that are more decent from these production facilities. We had an increase, for example, in Minas Gerais, South of Mato Grosso and Goiás and Sao Paulo, compared to 2022 where we had -- the company had big volumes on North of Mato Grosso, which the freight is quite expensive, also Pirai State in the North of Brazil and Bahia. So those regions had a decrease in the year, so this provided to us a lower investment in freight per ton delivered. In the right side of the table, you can see the mix of our sales. We basically reduced our distributor from 90% in 2022 to 5% in 2023. And this was compensated by sales made by direct sales and our internal sales field. The sales agent remained stable, but with a much lower price per ton, which in volume, this made our expenses to the sales agents to go down. On financial condition, we can see on the left side a brief summary on it. So much of cash held off the company in the end of the year CAD6.9 million, a relevant increase compared to the prior year. We had Q3 and Q4, relevant loans from Bank of Brazil and Banco Bradesco, a total of CAD16.2 million. And then at the end of the day, we finalize the year with CAD46.1 million on loans. And then do expect to have during 2024 an amortization of CAD18 billion, so CAD15 billion in 2025 and CAD7.8 billion in 2026. So this is currently our own profile. In the right side you can see a graph with the quarterly projection. If none of the actions that you are looking for, as mentioned in the MD&A as well, and in the Brazil is changed. So this is the current scenario that we have and if you have any update or any change on it that's material we will let everyone know. And yes so Cristiano now I think you are ready to go to the Q&A section anything you need please let me know as well and then we move forward. Thank you.
Operator:
A - Cristiano Veloso: Thank you, Felipe. So, so far we've received 19 questions. If there is any other question that comes out while I'm answering questions, or if whatever I said isn't clear, or you want more detail or triggered another question, please go back again on the chat and ask for it again. And ask for it again. The first question here on the Q&A is about coffee growers. It's a market we are looking very carefully. So the question here is we've made progress reacquiring coffee growers. Most of the fertilizer position by coffee growers takes place in the second-half of the year, but we're doing our best to make sure we can benefit from that relationship, from the several positive results we have from applying our coffee -- our product to coffee. And for some of you who might be new, just a little bit of background. What happens when you apply potash, conventional potash, to coffee trees is that half of that conventional potash is chloride. That chloride is absorbed by coffee trees, and that impacts the taste of the beverage, the quality of the coffee. That's why internationally it's very rare for you to go to a premier coffee shop and come across Brazilian coffee. Usually you will find coffee from countries like Guatemala, Kenya, Colombia, which have in common a very different type of soil to the soil found in Brazil. The soil in those countries is of a volcanic origin. And because it's from a volcanic origin, it's already rich in potassium. So the amount of potassium that farmers from those countries need to apply is very small. In Brazil because soils are very old, very weathered most of the nutrients have been depleted over the years. Farmers need to apply a lot of potassium as much as 400 kilograms of K2O per hectare, which if you're applying KCL, it means you're applying the same amount as chloride. In our case, with our product, because it does have that chloride because they have other nutrients, it has a number of benefits to coffee growers such as improving the taste of the beverage and making the application product more efficient. So we don't need to apply it in different installment, you can apply all the nutrient at once. If you go to our YouTube channel, you can come across several feedback, several videos from some of our coffee growers highlighting what they saw as benefit. The next question, is there a strong indication governments will enforce more mandatory carbon credits for companies anytime soon? I don't know what I heard recently, which seems very interesting is that, I think in Europe, very soon, every cloth you buy will need to come with a label showing what was the carbon footprint of that trouser, T-shirt, whatever it is. So I think it is in the cards. I think at some point, there will be a very strong pressure on farmers to commit to a certain maximum number of CO2 emissions. And this is another opportunity for what we're doing because of the fact our product has a much smaller carbon footprint in comparison to conventional potash. The next question. How's the new marketing sales team is doing and the current market conditions? They're doing the best, as we discussed, as I said in the opening, it's a tough market, but everyone is working really hard to try to achieve what we've set ourselves as a guidance as a target. The next question is tell a bit about our financial strength and plans if this downturn of sales and prices here for a longer period of time, how wage came and will survive? It's sales. I mean, it's sales. We need to be selling the product. We need to be increasing our sales. We need to be looking for different types of markets, niche markets, adapting the project, adapting the price strategy, adapting the market strategy. So they should be fighting in order to succeed. Next question. Has there been any negotiations with institutions recently. Anything to talk about base negotiations? I don't know what you mean by institutions. I presume it's like institutional investors. We -- the answer in that regard is that there's nothing. There's no negotiation with institution investors or nothing to be spoken about it. What's the timetable with carbon credits? Has everything gone as anticipated so far, the seminar coming in the spring? I want that seminar to take place in the coming months. The team has been very focused on advancing the project towards the capability of issuing carbon credits. We've been working with WayCarbon very hard trying to get them to commit to our time frame to understand the urgency of this project for us. So that has been our target, our focus. Based on increasing late receivables, are you expecting further debt provisions this year? Felipe, do you want to answer that question based on increasing late receivables, are you expecting further debt provisions this year?
Felipe Paolucci: Yes. Yes, we do -- yes, we would expect to have some debt provision, yes, but lower than last year. We have made our policy to approve long-term receivables even stronger since mid-last year. So the expectation now is to have a lower number, which is already included in our budget for 2024.
Cristiano Veloso: The next question is in the several questions here. So there's a few questions here about the carbon project? And I think I've mentioned, we're working hard on advancing what is required there. Then there are some questions here about the timeline for issuing carbon credits. Hard to say at the moment. The other question about the balance sheet. We are trying to work as much as we can in terms of sales as we mentioned in the press release, we were also talking to the banks about extending some of the loans. Next question here about the number of customers there was a reduction in the number of customers. Next question here, do you expect that the lengthy MRV period will be required to validate and credit -- were this carbon credit before being able to close an offtake agreement. That's why we work with Carbon. Hopefully, we can presell carbon credits the same way other companies have been able to accomplish in the past, and that's what we are working with WayCarbon to try to achieve. The next question, when the agricultural market in Verde's current financial situation becomes stronger if ensuing carbon credits prove a reliable depending financial meaning for contribution towards income, would there be the financial security and merit to offer a more substantial reduction in price of K4 to 2K cell to incentivize farmers both to try and adopt in a great number and more rapidly? This is really the rationale for you to be able to issue any carbon credits, some called additionality that unless the carbon credit project, unless the issuance of carbon credits is additional to a business. You just can't issue carbon credits. In other words, if we could grow as fast as we wanted, if we could achieve everything we wanted to achieve without carbon credits and the pace we want to achieve with investments we will make, then carbon credits just wouldn't be able to be issued. So you need to prove to the buyers to the agencies to be gold standards, to NASDAQ, Verde. You need to prove that what you -- that it's additional need to prove that without those carbon credits, you wouldn't be able to accomplish growth objective. And this is something else we're working with carbon to build that case. How much sales should Verde achieve to become cash flow positive with current potash prices and current product mix? It depends on where you're selling to. It depends on the established product mix. So I think the guidance gives a bit of an idea on what would be instituted question. Dutch KCL price reduction, Verde was unable to compete in two regions that freight has a relevant impact on the product cost. Some of the regions have large areas and volume impact was relevant? Correct as the price of potash sinks as it did over the last few months, it becomes less attractive or farmers from certain regions of Brazil to change to our project, that Verde requires a lot more persuasion. So we allow farmers to understand the other benefits, the product has, in addition to providing potash. Let's not forget, we also export our product to the U.S., Canada, Thailand, which is much far away from the North of Brazil, also Paraguay. So I think it's down to us to improve the -- our job to improve how we present the company in the product and how we bring farmers alongside, so they can see the benefits they can see the results, and they can use that to make their decisions. For example, there has been a massive drought in Brazil, you know I was talking to a farmer who was saying, even though he was impacted when he was talking to his farmers to his neighbors, comparing the results he got with neighbors, his results were far better than all the neighbors. And the difference -- the only difference we had was really the fact he was using our products. So we have all those anecdotal evidence. We hear that from farmers all the time. So it's really down to us to make a better job disseminating this advantage and allowing other farmers to understand it. Next question. With prices and volume dropping, interest costs rising, I would expect the company to make a strong effort to reduce G&A, but I see they went up. Is this specific plan to both increase sales and also to minimize general costs going forward? We are cutting G&A whatever possible. And -- but there were some bets we made last year, and Felipe alluded to them like increasing the number of our field sales team. We did that, but unfortunately, that didn't reslate into additional sales. And it did have an impact on the G&A costs. So we are navigating a little bit of a tricky scenario right now where we were very successful via inside sales without having anyone in the field and we're now migrating to a hybrid system where we continue doing some sort -- some element of inside sales, but Equally, we are looking to hire, recruit new field sales teams to work alongside it. Last year, results weren't as we expected, hopefully, this year, we can start migrating to a more effective field sales team. Next question, do you expect pricing and volume purchases in the industry to improve measurably in the next 12, 18 months? Do you have some data to substantiate this assessment in this way to have sufficient cash and credit resource to survive the next two, three years, start with the second part of the question? I think our guidance shows is clear in terms of what needs to happen. The first part of the question, I -- it's very hard to forecast the price of potash in my mind. It's just too tough. And not just for us, it's a small company. But equally, for the major companies, you saw the companies like nutrient or was the largest players making significant investments in the last 24-months, only to very recently write off a lot of those investments. And just assume the mistakes they've made and those are guys who not just have a multiple of budgeting a much large budget, but much greater team much more access to forecast data, and we could see how they've failed horrendously on the decisions they made in terms of CapEx allocation. So when it comes to us, I think we need to really to look in here and to be expecting the worse and really hoping for the best. And that's what we're doing in terms of the strategy going forward. And the bottom line is really focusing closer to where the plant is in terms of market development, in terms of presence, which is where we can command the highest sales prices. We've mapped out the region where we get the best prices. It's not just the state, it goes overboard to Goias to some of the gross estate, some of Sao Paulo. So the focus in terms of market development has really turned out to be on those specific regions. Next question. Could it be a case of outcomes raiser? Pardon my ignorance, the first time I've heard about it, and that driving fast growth in sales can become from offering a more substantial discount to KCL stay in the region of 20%. This would incentivize conservative farms to take the plunge, counterbalance the high cost of finance competitors, and Verde can then focus once customer trust is gained on improving margins by marketing, selling to value-added products of bags by evolution and other technologies, please consider in depth and give your thoughts? It's definitely something we've tried to do. It's not something we have fully committed to join as a single folks strategy. But there are merits. There are merits there. The -- what we're seeing at the moment, of course, in terms of the sales strategy, the sales leadership, is a view that the product is better than KCL. The product is not a commodity like KCL. We need to educate farmers about all of those benefits and we need to price the product accordingly. So this -- the downside, as you highlighted in your question, is that this takes more time to develop a market. This requires more investment than if you were really just taking an approach to turn and say, look, our potash is cheaper than KCL. I want you to start doing it, you're going to start seeing results. And then once you create that relationship on those basis, you move on to present value-added products. So this is -- those discussions we're having at the moment with the senior leadership from our sales team. Next question, CO2 capture monetization. From presentation, it appears that progress is being made. What are estimated time lines for actually selling carbon credits specifically or 2024 sales in carbon credit is expected? And if not, what is the best estimate of when also anticipated price on CO2 removal? We have an option, okay? The more we learned about the carbon credit market, we saw that we either would need to build a full in-house team to be focused on that with different scientists, different expertise or we would partner with someone who already had that knowledge already had that expertise. We thought and kind of -- we first going down the former route, but then we realize how difficult it was becoming to recruit and of talent and to develop all of that given our background as a mining fertilizer company. Then we changed our strategy. We look for we believe to be the best in this space. And then we did a partnership with this company called WayCarbon, which is the majority owned by center there. So it's now down to us to keep the pressure then to make sure we're not just one more project in their pipeline, but they see us as being a priority. So this is Lucas Brown's role and this is what I talk to him very daily and patiently, as well as I recently tried to accomplish that. It is clear that inability to advance credit at reasonable terms comparable to competitors is a major impediment for closing sales, which looks like it could impact this year and possibly next similar to 2023, this is killing Verde right now. Has the company explored all possible means to become this problem? Answer to the first question, we're looking at. There's barter, there's partnerships. So we're trying the best as you can. And then there's another -- two follow-on questions here. Can Verde partner with a financial institution to directly finance the farmer rather than Verde? This is something Felipe has been looking at. And I think he can update us on that, Felipe, like how you're working with the banks. So the banks can provide the funding to the farmers rather than us in a way that we can free up our working capital and provide better terms to farmers to make it more attractive. And I think when you're answering that question, I think it's worth mentioning how BNDS and BDMG, both have better terms for a farmer whenever he is buying a product like ours, which is better to the environment. So while you prepare this answer, Felipe, let me just answer the next one. To achieve the 20% of production that Verde has ability to finance. Could Verde embed some financing costs into the product and then offer a lower interest rate, something has to be done as competitors are going to continue to export this advantage. That is, again, something we've done in the past. That's something we should be looking at. I agree to redo again this year. In other words, Felipe instead of saying that we offer a 5%, for example, discount to KCL, we say we offer a 3% discount, but then we keep the funding terms, the financing terms cheaper. So those are very two comments. I'll ask Felipe to answer the other question about his work with financial institutions should find farmers directly. Please go ahead, Felipe.
Felipe Paolucci: Yes. We want to, for example, one of the ideas and projects we are working the NDS, which is the government national bank for development, which has the lowest rates -- interest rates in Brazil, fairly from the private institutions and they do have an alternative in Brazil, call it, Fiji, but this operation basically means that the bank will use not the Verde credit limits of assets, but the client, the final client as got for the loan. So actually, the money does not throughout our balance but through the client -- final client one. So the idea is that the client pays the bank like in 12 months or 18 months, depends on the season or 6 months, depends on the crop and the bank will pay there right after we deliver the products. So this is the idea we are working on. And I do expect it takes a bit long because it's not a private process, but I would expect to have this in place made for the next couple of months. And that's the idea, one of the funds we are looking for, a definitely good to finance our clients and make sure that we have lower interest rates and also lower great risk since this bank also will analyze the credit and the risk that will be under Verde to be no more than 20% or 25% of the total amount and the other 75% to 80% will be handled by bank. So this is a good operation that we'd like to start to use. And for sure, this money would be cheaper than our loans and things like this. So that's one project that I'm working on and hopefully have good news in the coming months.
Cristiano Veloso: Next question, operationally, it appears Verde may be heading into a liquidity crunch in coming quarters? Do you anticipate a need later this year for private placement? I think there are other ways to address that. We're working with the banks, and I strongly believe those banks should be very motivated to be extending the loans -- so we can, if necessary, carry on, advance, you carry on growing. The next question will Verde, WayCarbon both conduct the science to value Verde’s, carbon credits. It's all -- it's down to Verde and the work we're doing in terms of science with the invest of Newcastle with Professor [Indiscernible] and they are helping as far as telling us what is required under carbon credit standards in this sort of shape and size, they need to see those reports and this data that you'd be able to progress. The other -- for example, the other example you had here, the negative impact on our [indiscernible] used due to decreased microbial activity. That's one of the elements which does happen when you apply KCL. Next question, why our sales close to site should prove more profitable? Will Verde's to expand out as it has done in the past to protect against bad ears, immunosus or its main crop coffee? Absolutely, we will, by saying we are focusing in the vicinity, it doesn't mean we are giving up on sales further field it's to do with where we position the bulk of the sales effort, where we attend a conference -- agricultural conference, but that doesn't mean that the several customers we've conquered away from where we are -- and the ones we can reach via digital marketing, they are ones we can reach in a different way, doesn't mean we walk away from them, but we truly do that. And that is for the very reason you highlighted here, which we had discussed before in terms of diversification. Are you seeing new traction with your new sales team and marketing team. I mean, I wish I had been seeing much more traction than I'm seeing. That's the honest answer. I think perhaps we came from a model, 100% focused on inside sales where a very small team was capable of generating a lot of volume and it's coming across this hybrid or field sales team something a little bit more slower. So not necessarily something we are -- were used to from the history of the company, but something we're trying to adjust, trying to see if there is room for making it faster, but that is the reality at the moment. Next question, looking forward to 2024, are you comfortable with our long-term debt repayments requirements? And if not, what steps have been taken to address your concerns. We're talking to the banks about extending the repayment of that debt. Next question, what's the KCL inventory supplies status in Brazil? Has the number normalized or growth is still facing credit issues. There is plenty of potash in Brazil, imports have been strong, importers who build an inventory they built at lower prices to what we are currently seeing at the moment, because price of potash have started to recover -- the exchange rate is also turning -- has changed. So the Brazilian currency has been weakening, which is advantageous for us, because it makes conversion of potash, KCL, more expensive to farmers and makes product more competitive. In terms of the growers, there is a record number of farmers in Brazil applying for creditor protection. We've had farmers who were our customers that have applied for that sort of credit protection. And this is something relatively new in the Brazilian legislation, something similar to Chapter 11 in the U.S. where a company can apply to the court to say it's going through a difficult time and then the court essentially will sanction an agreement between the company and its creditors. And what often happens in that -- in those certain discussions, what's happening to us is that the company -- the -- your -- the farmer in our case, he will be presenting some very, very low offers. So for example, there was one farmer that, as an example, is that with us was $1,000. And he turned to us and told us that he can pay $100 in 20-years with no interest rate. So that's usually the sort of opening offer that comes up. Then the creditors will accept or not. Usually, the first-half doesn't get accepted, and then something else comes a little bit more reasonable. But historically, every time you have one of those credit protection schemes. The end result is that the creditor has to agree to some pretty hefty haircut in order to coup some of its debt. So the credit, especially the banks in Brazil, they keep trying to change this legislation, because it's very pro debtor. And -- but so far, this is what the regulation is. And so far, that is what we're suffering from some of the farmers who have been able to pay us one of the advantage, though, is once you go through that, it's -- if the farmer -- if we agree to some sort of discount to a farmer, then later on, if he can't honor it, then he kind of like it's hard for him to get around it. So that's the sort of system in place in Brazil, which you can book research more information or contractors, if you don't understand in detail. Next question. Nutrin leave in Brazil have on the industry and Verde specifically affect. That's a good question. So recently, very recently a few days ago, there's been an article in Reuters about the new trends, how -- what's happening with new trend in Brazil. except we've been following closely. We -- I was personally approached by some executives from Nutrin leaving who interviewed for jobs at Verde. So we kind of know in detail what's going on there. And it's interesting to see because since there was the merger between Agrium and Potash Corp, half of what was said by the leadership of the new company was about how Brazil was the key market, how they're going to grow in Brazil. Then it came in. There was a number of acquisitions that took place and events, I would say, beyond their control in terms of deterioration of the price of fertilizers. They had some big stock bought at higher prices, impacted the economics, perhaps the sort of valuation, the sort of multiples, the sort of companies they chose to acquire in the distribution space in Brazil, perhaps that brought them problem. There was a short-term. It's very hard for us to add to that discussion, but I do recommend everyone read the Reuters article on the topic, which is very which is very good, it's background information. The next question, are there plans to monetize the technology for example, via licensing. Yes, do you have a time line in mind? And what revenue are you targeting? There's no plans on licensing, no time line. If you have an idea, if you have any suggestions, we're open to hear from you, but we haven't been able to come up with anything in that regard. How much volume have been sold to China, could export be a bigger impact, what kind of customers do you have in China? It's not a lot. It's in the 1,000s of tonnes. It's not in the tens of thousands of tonnes. The customer we have in China is the country's largest agricultural corporation company that controls a number of distributors. So it's a premier customer. I went to China, visit them, it's very impressive operations. They have big expectations for our project, but it's a slow process because it requires convincing farmers they see the yields. It's small properties, but they did do the job in their on time. Next question, looking five years ahead, what revenue mix do you envisage for Verde, fertilizer carbon tech? That's a difficult question because they kind of work hand to hand. So as I was talking earlier on about additionality, the way you can sell, the way you can monetize carbon credit is by proving it's additional to your business. So you can either create a baseline with the current customers and then say, look, from now onwards, in order for us to grow, we will be requiring to sell carbon credits? The way we will be required to sell carbon credits, usually you create a price -- a new pricing policy where the farmer will decide whether he pays full price in which case we don't get carbon credits in which case, if he decides to get carbon credits down to him or we have a different pricing where it gets subsidized by carbon credits. So it's hard to give an answer in that regard. Next question or covenants regarding your loans is to a threat for Verde. If sales prices stay mostly flat or rise again, Felipe, in terms of the covenants in the loans, which is what this question here is the different covenants you have if prices deteriorate or are there other covenants, which are relevant to what's going on.
Felipe Paolucci: No, what we have all had last year are included as we saw in the press release and financial statements of public -- make public last week. We have already an agreement with the local bank that had this agreement in public. So I do not have an expectation to have issue again in 2024. And if we do, I'm sure that the bank will negotiate again and provide to us a waiver and they did last year.
Cristiano Veloso: The next question, what type of new products or technology are we working on. What patents are we waiting for? The new product technology we're working on, it's more like validation tests from the ergonomic trials, so stuff that has been underway now for years. And it's to do with granulation -- we have further tests going on with microbes. We're always looking for different microbes. We have -- we've done some application to register new microbes, those are underway. And we have several patents, which we will apply that we're waiting for. I think we probably have about five different patents that we applied for. Next question on the steel plants you list on another stock market to gain interest. And given your geopolitics is there a case for a listing in a major exchange outside of America, somewhere more neutral, such as where the company has been moved to Singapore? The stock exchange in Singapore isn't great to see the least. Spoken to several people there and liquidity is low, the market is small. So I don't see much merit with listen in Singapore. The U.S. market is no doubt your premier stock exchange recently. There are two ways to access that to make it easier for U.S. investors to potentially buy shares. One is via a NASDAQ or New York Stock Exchange listing. The other one is via a OTC listing, not the one we currently have because doesn't seem to offer much access, it would be something on a different range within -- different category within OTC, which seems to be able to access more -- offer access to more to more investors. So if there's any more question -- so now this concludes all the questions we've received, if anyone is thinking about sending a follow-up question or sending a question, now is your time. I'll give you a couple of minutes. Let me just say that I feel very frustrated about what's going on in the market. I feel very sad that the market turned on us the way it did. I feel impotent we couldn't really forecast how quick it would change on us, and we're doing the best. We're doing the best we can in order to address all of that. It's not our first our first time. I remember going through a situation or situations very similar to the current one, back even before the company went public in 2006, when we were very close to not be able to go public or carry on as a company that was back ‘06, very bad situation. Then obviously, there was an equally stressing situation when we had the subprime crisis in '07 -- in '08, '09. So that was very challenging for the company, what to do, what was going on, very difficult time. Then we again had something very similar happening in ‘13 when the industry exploded when the potash space exploded when the Russians fought with the Belarusians and the price, all of a suddenly crashed from the $400, $500 down to $200. So that was very, very bad. Then in ‘16, when our treasury was very low when we had to somehow find funds to build our first plant. That was equally a very, very difficult time. Then once we started production from ‘17, we also faced some massive problems, I think it was around ‘19 or something like that with the issue of potash prices again. Of course, then there was COVID where we had to reinvent the way we would be selling. So I think what we see now with this collapse, absolute collapse of potash prices with the collapse we're seeing with the price for agricultural commodities and the fact we now have a sizable debt is yet another challenge we're facing in our history of nearly 20-years. And it's something we're working as hard as we can learning as much as we can from everyone from -- to the learning from, I appreciate some of those questions here, they made me think. So should equally make Felipe think about some of our previous conversations as well. So I appreciate all the effort. I appreciate your -- this partnership, I appreciate your import, please do never hesitate to send us a question to send us a suggestion, just to criticize us, we're in this both together and are working as best as we possibly can to go through this difficult time. Having said that, seeing there are no other questions here, I would like to thank you for this for this opportunity to talk about Verde Agritech. If you watching it online, please do not hesitate to share it with other people, who might be interested. And we look forward to talking to you very soon. Thank you very much. Have a great day. Bye-bye.